Operator: Good morning. My name is Adam, and I will be your conference operator today. At this time, I'd like to welcome everyone to the EMCOR Group Fourth Quarter and Full-Year 2017 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks there will be a question-and-answer session. [Operator instructions] Mr. Bradley Vitou with FTI Consulting, you may begin.
Bradley Vitou: Thank you, Adam, and good morning everyone. Welcome to the EMCOR Group conference call. We are here today to discuss the company's 2017 fourth quarter and full-year results, which we reported this morning. I would like to turn the call over to Kevin Matz, Executive Vice President of Shared Services, who will introduce management. Kevin, please go ahead.
Kevin Matz: Thank you, Brad, and good morning everyone. Welcome to EMCOR Group's earnings conference call for the quarter and full-year 2017. For those of you, who are accessing the call via the Internet and our Web site, welcome to you as well. And we hope you have arrived at the beginning of our slide presentation that will accompany our remarks today. Please advance to slide two. This presentation and discussion contains forward-looking statements and certain non-GAAP financial information. Page two describes in detail the forward-looking statements and the non-GAAP financial information disclosure. I encourage everyone to review both disclosures in conjunction with our discussion and accompanying slides. Over to slide three, it depicts the executives are with me to discuss the quarter and full-year 2017 results. They are Tony Guzzi, our President and Chief Executive Officer; Mark Pompa, Executive Vice President and Chief Financial Officer; Maxine Mauricio, our Senior Vice President and General Counsel; and our Vice President of Marketing and Communications, Mava Heffler. For call participants not accessing the conference call via the Internet, this presentation including the slides will be archived in the Investor Relations section of our Web site under Presentation. You can find this at emcorgroup.com. And with that said, please let me turn the call over to Tony. Tony?
Tony Guzzi: Yes, thanks Kevin, and welcome to our Q4 2017 and full-year 2017 commentary. I want to apologize upfront for my voice. I have a little bit of laryngitis, I guess, I spent a little bit too much time on airplanes over the last 6 weeks. I'm going to speak to pro forma results for 2017 throughout my introductory comments. Mark is going to cover the financial performance in detail for the fourth quarter of 2017 and Full-Year of 2017 and I don't want to be repetitive. I will be covering Pages 4 through 7 in my introductory comments. By any measure we had a fantastic 2017. We set annual performance records for revenues, operating income, operating income margin percentage, net income and earnings per diluted share from continuing operations. And most importantly cash flow from operations. We delivered a record $366 million of operating cash flow in 2017. We were able to overcome the significant negative impact of Hurricane Harvey to our Industrial segment in the important fall turnaround season and still deliver outstanding performance for our shareholders. Our U.S. Electrical and Mechanical Construction segments carried the day with record performance across the board. We had operating income growth of 54% for the year on a combined basis across our U.S. Electrical and Mechanical Construction segments. In 2017, operating income margin was up 8.2% in our Electrical Construction segment and 7.2% in our Mechanical Construction segment. We were heading in our mechanical construction segment by 60 basis points as we settled some large disputes and claims during the year. However, even adjusting for these claim and dispute settlements, we performed in an exceptional manner in both construction segments and had outstanding operating income margins and revenue growth. We executed well across all trades and across all market sectors. And discipline matters in our business, and in these segments the results show exceptional discipline in executing for our customers and shareholders. Our construction results were driven by excellent productivity, planning and topside execution. We leveraged our skilled workforce to deliver great results for our customers and finished some large plus project work with excellent results. Competition for skilled labor is becoming more of an issue, however, our investments in BIM, prefabrication, and peer learning have served us well as we are able to reduce our peak labor on our work through these investments. Although we have strong demand for our construction services, our results are driven more by execution than a strong pricing market. We still have a lot of competition for the work. We have to be disciplined and selective in winning projects and then we have to be driven to deliver the productivity and quality to earn these results. It was an exceptional year in our Construction segments and we look to continue our success. We have to earn that success every day on our every project. Our Building Services segment had a strong year driven by our mechanical services business. We delivered 40 basis points of operating income margin expansion on a 6.8% organic decline in revenues. That's tough to do. We move this segment to a more favorable mix in both our government and commercial site based businesses, exercise strong costs and discipline as our revenue remained challenged. In mechanical services we had excellence of project execution and delivery for our customers. We continue to see strong demand for energy savings projects as our customers look to make our facilities more competitive. We also have some nice new contract wins in our commercial site based business. They did not drive 2017 results, but sure helped us regain momentum in our commercial site based business as we move into 2018. Our Industrial segment had a very tough year. We discussed many times the tough comparison we had with an excellent 2016 where we executed well on some large nonrecurring capital projects. Hurricane Harvey made an already challenging 2017 a year that produced poor results in the segment. The segment already was pressured by weak spending, but then Harvey upended the fall 2017 turnaround season and continues to drive some recalibration by our customers into 2018. Our U.K. Building Services segment continues to show improvement. Here we're strong with 4.4% operating income margins and 4.4% revenue growth. Our UK team continued a steady improvement of our large scale restructuring that we executed over 4 years ago when we exited the UK construction market. Backlog dropped from $3.90 billion at the end of 2016 to $3.79 billion at the end of 2017. Our domestic backlog is down $142.5 million versus the year ago period. I will discuss backlog more following Mark's comments, but we are still on a very strong domestic market for our services. And our drop has really resulted in a very strong, organic revenue growth in our Construction segments, and we are still in the process of negotiating and developing several large food processing and water and waste water projects that we believe we'll have a good opportunity to close by mid 2018. Our cash flow was terrific at $366 million. Our balance sheet is liquid and strong and provides us the foundation to continue to grow and build value for you our shareholders. With that, I will conclude my introductory comments and turn the call over to Mark.
Mark Pompa: Thank you, Tony, and good morning to everyone participating on the call today. For those accessing this presentation via the webcast, we are now on Slide 8. As Tony indicated in his opening commentary, I will begin with the detailed discussion of our fourth quarter 2017 results before moving to our Full-Year 2017 performance some of which Tony just outlined during his executive summary. As a reminder, all financial information discussed during today's call is included in our consolidated financial statements within both our earnings release announcement and Form 10-K filed with the Securities and Exchange Commission earlier this morning. So let's discuss our fourth quarter performance. Consolidated revenues of $2.01 billion in Quarter 4 are up $62.7 million or 3.2%. Our fourth quarter results include $35.9 million of revenues attributable to businesses acquired pertaining to the period of time that such businesses were not owned by EMCOR in last year's fourth quarter. Acquisition revenues positively impacted both our United States mechanical construction and United States Building Services segments. Excluding the impact of businesses acquired, fourth quarter revenues grew organically $26.8 million or 1.4%. United States electrical construction revenues of $479.4 million increased $2.5 million or 0.5% from Quarter 4 2016. Quarter-over-quarter revenue gains within the commercial, institutional and health care market sectors were mostly offset by revenue declines within the industrial and transportation market sectors partially due to the completion or substantial completion of large transportation projects which were active in 2016 as well as the early part of 2017. United States mechanical construction fourth quarter revenues of $790.8 million increased $73.3 million or 10.2% from Quarter 4 2016. Excluding acquisition revenues of $20.5 million this segment's quarterly revenues grew organically 7.4% quarter-over-quarter. This segment's revenue growth is primarily driven by higher project activity within the health care, commercial, hospitality and institutional market sectors somewhat offset by reduced industrial construction project activity due to the completion or substantial completion of certain large projects earlier in the year. EMCOR's total domestic construction business fourth quarter revenues of $1.27 billion increased $75.8 million or 6.3% with 4.6% being generated from organic activities. United States building services revenue is at $438.3 million, decreased $5 million or 1.1% excluding acquisition revenues of $15.4 million in this segment's quarterly revenues decreased $20.4 million or 4.6% organically. As has been the trend throughout calendar 2017, this segment's mechanical services division revenue growth was offset by revenue declines within their commercial site base and government services divisions due to maintenance contract attrition primarily occurring in late 2016 as well as lower indefinite duration indefinite quantity project volumes from government related activities. United States industrial services revenues of $207.5 million decreased $29.8 million or 12.6% due to the continued impact of Hurricane Harvey on both our field services and shop services activities as we have seen both the deferral of maintenance work in addition to scope reductions at those locations where we were providing services during the fourth quarter. As a result of the reduction in field services activities, the volume of pull through repair work opportunities for our shop services was also negatively impacted in the quarter. United Kingdom building services revenues of $96.6 million increased $21.7 million or 28.9% as we continue to see the operating benefits of new service contract awards. These new contract awards were successful in muting the continued weakness in small project and capital project activity within United Kingdom. The foreign impact on quarterly revenues for once actually was a positive $6.3 million. My last comment on quarterly revenues is that our fourth quarter revenues of 2.01 billion represents a new all-time quarterly revenue record for EMCOR. Please turn to slide nine. Selling, general and administrative expenses of 204.2 million represents 10.1% of fourth quarter revenues and an increase of 9.3 million from the 194.9 million reported in 2016's fourth quarter. As a percentage of revenues, the current year quarter increased 10 basis points from the 10% reported last year. The current year's quarter includes approximately 4.5 million of incremental SG&A inclusive of intangible asset amortization from those businesses acquired, resulting in an organic quarter-over-quarter increase of approximately $4.8 million. This increase is primarily due to higher employment cost mainly as a result of variable compensation program awards earned due to the improvement in operating performance year-over-year. The modest increase in SG&A as a percentage of revenues is due certain of our operating companies experiencing better than anticipated operating performance resulting in incremental incentive compensation expense within the quarter to true-up for actual full-year performance. Reported operating income for the quarter of 48.5 million represents 2.4% of revenues and compares to 74.5 million and 3.8% in 2016's fourth quarter. Our current fourth quarter operating income includes a 57.8 million non-cash impairment loss on goodwill and identifiable intangible assets. Specifically as a result of our annual impairment testing as of October 1, we concluded the goodwill of our U.S. Industrial Services segment is impaired resulting in a 57.5 million non-cash earnings charge. This is due to prolonged weak demand for our shop services offerings as a result of continued curtailed capital spending from our customers in addition to the impact of foreign competition. Additionally, we have seen reductions in pricing within both our field and shop services offerings due to challenging market conditions. The remaining 300,000 non-cash charge is due to the deamination [ph] in value of a trade name for a business previously acquired within our U.S. Building Services segment. The current impairment charges as well as the intangible asset impairment charge taken in 2016's fourth quarter are not reported in our discrete reportable segment information reflected on the lower third of Slide 9. The ad back of these items results in non-GAAP operating income of 106.3 million, a 5.3% of revenues for 2017's fourth quarter as compared to 76.9 million of non-GAAP operating income or 3.9% of revenues in the comparable 2016 period. Now, I will speak to the operating income results from reportable segments for the quarter. Our U.S. Electrical Construction Services segment operating income of 40.3 million increased 9.2 million or 29.4% from the comparable 2016 period. Reported operating margin of 8.4% represents a 190 basis point improvement over last year's fourth quarter. The increase in both operating income and operating margin is due to continued improved contract performance across most market sectors served with transportation, commercial, and institutional project activities contributing the most significant period-over-period improvement. 2017's fourth quarter U.S. Mechanical Construction Services segment operating income of 61.3 million represents a 29.3 million increase from last year's quarter. Reported quarterly operating margin is 7.8%, which is 330 basis points higher than 2016's fourth quarter. Quarter-over-quarter improvement is project activities within the industrial, institutional, water and healthcare market sectors more than offset reduced project profitability within the hospitality market sector and hi-tech sub market sector. As a reminder, our U.S. Mechanical Construction segment experienced a substantial project loss in 2016's fourth quarter, which negatively impacted this segment's 2016 fourth quarter operating margin by 310 basis points. Our total U.S. Construction business has reported an 8% operating margin for the quarter just ended as compared to 5.3% in last year's fourth quarter. Operating income for U.S. Building Services of 21.1 million represents 4.8% of revenues and is roughly in line with this segment's 2016 fourth quarter performance. Our U.S. Industrial Services segment operating income of 2.5 million represents 1.2% of revenues, which is a decrease of approximately 8.7 million from last year's fourth quarter. The reduction in quarter-over-quarter performance within our Industrial Services segment is due to the continued impact of Hurricane Harvey and our field services operations as well as reduced pull-through repair work for our shop services. As our customers continue to evaluate and execute the recovery plans, we are hopeful to see resumed normal activity within this space. U.K. Building Services operating income of 5.7 million represents 5.9% of revenues, which is an increase of 3 million and is a 220 basis point improvement over last year's fourth quarter. This segment is continuing to make good progress in transitioning the new service contract awards despite small project and capital project demand not yet back to normalized levels. We are now on Slide 10. The table on Slide 10 lays out the discrete items that impact quarter-over-quarter comparability and reconciles a non-GAAP operating margin and a non-GAAP operating income that I referenced during my commentary on the previous slide to our as reported amounts. As you can see, when the goodwill impairment is removed from our quarter four 2017 results as well as the identifiable intangible asset impairment taken at both quarterly periods, 0ur adjusted non-GAAP income for the current year quarter is 106.3 million or 5.3% of revenues which favorably compares to 76.9 million or 3.9% of quarter four 2016 revenues and is a 38.2% improvement. Tony previously referenced our exemplary operating cash flow for full-year 2017 of 366.1 million. Of which, a 127.9 million was generated during the fourth quarter. This represents excellent performance when facing the headwind of our industrial services weak second half 2017 operating performance. Please turn to Slide 11. Additional key financial data for the fourth quarter not addressed on the previous slides are as follows. Quarter four gross profit of 311.1 million represent 15.5% of revenues which is improved from the comparable 2016's quarter by 39.1 million and represents 160 basis point improvement over the 13.9% gross margin in 2016's fourth quarter. The quarter-over-quarter improvement is due to a strong revenue growth within U.S. Mechanical Construction Services segment as well as improved project and service execution amongst all of our reportable segments other than U.S. Industrial Services. Diluted earnings per common share from continuing operations for the fourth quarter is $0.90 as compared to $0.69 per diluted share a year ago. On an adjusted basis reflecting the add back of the non-cash impairment losses recorded in both periods as well as the favorable impact of the Tax Cuts & Jobs Act, which I will further discuss in a moment, our non-GAAP diluted earnings per share would have been $1.13 which represents an increase of $0.41 or almost 57% from the comparable non-GAAP 2016 amount. Due its enactment of December 2, 2017, the Tax Cuts & Jobs Act necessitated the revaluation of United Stated net deferred tax liability at the new 21% federal corporate tax rate which resulted in a benefit of 39.3 million within our 2017 fourth quarter tax provision, which is in fact a quarterly tax benefit. The newly enacted legislation also imposes a onetime transition tax to specified foreign earnings which have not been repatriated to United States. The impact of such transition tax as well as any future repatriation of cash from foreign operations is currently estimated to be immaterial. We are now on Slide 12. I will now augment Tony's 2017 annual commentary. Consolidated revenues of 7.69 billion were up 135.5 million or 1.8% as compared to 7.55 billion of consolidated revenues in 2016's annual period. Acquisitions contributed incremental revenues of 192.4 million pertaining to the period of time that such businesses were not owned by EMCOR in the prior year and positively impacted all of our reportable segments other than our U.S. Industrial and U.K. Building Services segments. Excluding the impact of businesses acquired, year-to-date revenues decreased organically 56.9 million or 0.8%. Consistent with my year-to-date commentary during our third quarter earnings call, significant revenue growth within each of our U.S. Construction segments was somewhat muted by year-over-year revenue declines within our U.S. Building and U.S. Industrial Services segments. Despite a 15.9 million headwind as a result of negative exchange rate movement between 2017 and 2016 in pound sterling, our U.K. Building Services segment's strong fourth quarter revenue growth more offset U.S. dollar revenue declines experienced throughout the first half of the year. U.S. Electrical construction revenue of $1.83 billion increased to $125.2 million or 7.3%. Acquisitions contributed $50.4 million resulting in organic revenue growth for 2017 of 4.4%. Increased production activity within the commercial institutional and healthcare market sectors, including a significant increase within the telecommunication submarket sector were the largest contributors to year-over-year revenue growth. U. S. mechanical construction 2017 revenues are $2.96 billion, increased $320.5 million or 12.1% compared to 2016. Acquisitions contributed $76.2 million of revenues resulting in year-over-year organic revenue growth of 9.2%. Higher project revenues within the healthcare commercial and hospitality market sectors are the driver of these segments from annual organic revenue growth and this revenue trends has been consistent throughout the last few years for U.S. Mechanical Construction segment. U.S. building services revenues of $1.75 billion decreased $56.5 million or 3.1%. Acquisitions contributed $65.8 million of revenues resulting in a year-over-year organic revenue decline of 6.8%. This annual revenue decline is due to maintenance contract attrition within both of the commercial and government side based division as well as a lower volume of project activity within the energy sector. U.S. industrial services 2017 revenues of $799.2 million decreased $268.2 million or 25.1% compared to 2016. This segment's annual revenue decrease excuse me is due to a reduction and large capital project activity within the specialty field services operations prolonged weak demand for new belt heat exchanges as well as the continued impact of Hurricane Harvey and the Texas Louisiana gulf coast region, which has impacted previously scheduled maintenance turnaround work. Our U.K. segment 2017 revenues increased $14.5 million primarily due to new maintenance contract awards within the commercial and institutional market sectors somewhat offset as I mentioned earlier by a reduction in small project and capital project activities throughout the year. Please turn to slide 13. Selling, general and administrative expenses of $757.1 million represent an increase of 31.6 million as compared to $725.5 million of 2016. This increase includes $24.4 million of incremental SG&A related to businesses acquired, inclusive of intangible asset amortization. As a percentage of revenues, SG&A is 9.8% for Full-Year 2017 compared to 9.6% for the 2016 annual period. The year-over-year increase in SG&A due to an increase in headcount and related employee cost within our U.S. Mechanical Construction segment supported a strong growth in revenues as well as higher expense associated with companywide incentive compensation plans due to an overall increase profitability. Additionally, we experience an increase in employee healthcare cost year-over-year. Year-to-date operating income is $330.6 million or 4.3% of revenues and represents a $22.1 million increase over 2016 annual performance. Each of 2017 and 2016 include discrete items that negatively reported - that negatively impacted reported operating income by $57.8 million in the current year and $6.3 million in the prior year, which we've adjusted for purposes of non-GAAP presentation. Therefore, on an adjusted non-GAAP basis, the year-over-year change in operating income is an increase of $73.6 million while operating margin increased 90 basis points to 5.1% from an adjusted non-GAAP 4.2% operating margin in 2016 annual period. All reportable segments are reporting higher operating income and higher operating margins year-over-year other than our U.S. Industrial Services segment. Our U.S. Electrical Construction Services segment operating income of 150 million increased $48.2 million and 47.4% over 2016 levels, represent 8.2% of revenues as compared to 6% in 2016. This segment generated higher gross profit from commercial transportation and institutional project activities. Additionally, this segment's 2016 operating income was negatively impacted by $19.4 million of losses incurred on the transportation project, which reduced this segment's prior year annual operating margin by a 120 basis points. Domestic mechanical construction operating income of $212.3 million or 7.2% of revenues increased $79.7 million and operating margins increased 220 basis points over 2016 Full-Year performance. The increase in operating income for 2017 was due to an increase in revenues and associated gross profits within the majority of the market sectors in which we participated. Additionally, 2017 operating income and operating margin benefited from the recovery of certain contract costs previously distributed on a project completed in 2016 which favorably impacted this segment's 2017 annual operating margin by 60 basis points. U.S. Building Services 2017 operating income of $81.5 million increased 4.7 million or 6.1% due to increased profitability within the mechanical services division. Additionally businesses acquire during 2017 favorably impacted operating income by $2.6 million. Operating margin increased 40 basis points due to an overall improvement and revenue mix year-over-year. U.S. Industrial Services 2017 operating income decreased $58.8 million to $19.1 million or 2.4% of revenues. The year-over-year decrease is attributable to lower gross profits from specialty service offerings within our field services operations due to reduced large project activity as well as lower turnaround activities primarily attributable for the impact of Hurricane Harvey, which resulted in the deferral or cancellation of previously scheduled turnaround projects. In addition, operating income was negatively impacted by the segments chop services operations due to a reduction of pull through repair activity as a result of the decrease and turnaround projects previously referenced. The substantial decrease in operating margin is due to lower gross margin as a result of unfavorable revenue mix and higher selling, general and administrative expenses as a percentage of revenues due to unabsorbed overhead cost as a result of Hurricane Harvey. EMCOR U.K. building services operating income of $14.8 million or 4.4% of revenues increased $2.9 million due to an increase in gross profit from service activity within the commercial and institutional market sectors as a result of recent contract awards. The segment's operating income increase was partially offset by a favorable exchange rate moments of 300,000 during 2017. We are now on Slide 14 and thankfully for Tony I'm almost done. Consistent with the reconciliation discussed previously on Slide 10. This page reflects the operating income reconciliation from GAAP to non-GAAP adjusted orders for those items that we believe are not reflecting of our underlying operating performance. Additive to this reconciliation from the quarterly reconciliation previously discussed are the transaction expenses related to the acquisition of Ardent and Rabalais that occurred in 2016. Adjusted non-GAAP operating income for 2017 reflects in the add-back of the non-cash goodwill and identifiable intangible asset impairment as $388.4 million or 5.1% of revenues. This compares to adjusted non-GAAP 2016 operating income of $314.7 million or 4.2% of revenues reflecting 2016 add backs for transaction expenses and the identifiable intangible asset impairment. The year-over-year improvement in 2017 is an increase of $73.6 million a 90 basis points of operating margin. The Full-Year tax rate for 2017 as indicated on the bottom of the page was 28.5% as compared to 37.5% for the 12 months 2016 period. The reduction in our 2017 rate is due to the favorable impact of the necessary revaluation of the United States net deferred tax liability from 35% to 21% as result of the Tax Cuts and Jobs Act to be signed, launched during December as I previously mentioned. Additionally, 2017 benefited from several other favorable discrete tax items that occurred throughout the year. The benefit of these favorable discrete items on a Full-Year tax rate was somewhat reduced by the non-deductible portion of the Goodwill impairment previously referenced. With regards to 2018 planning, I anticipate our effective tax rate will be approximately 27.5% to 28.5% before discrete items compared to our historical normalized rate of approximately 37.5%. This estimated rate incorporates both the reduction for the statutory federal rate as well as the disallowance of previously available tax reductions including the repeal of the Section 199 deduction and is commonly referred to as the domestic manufacturing deduction. This reduction in tax rate will represent an increase in annual operating cash flow of approximately $40 million to $50 million based on our current 2018 taxable income estimates. The purposes of developing our earnings guidance range for 2018, which Tony will speak to you in a few slides, we have utilized 28% as a tax rate while we continue to refine our understanding of the new legislation and monitor how state taxing authorities can form fitting an active federal tax law? However, I want to reiterate that discrete tax items may occur during the year and could impact our current estimated tax rate for 2018. Our current thought process on capital allocation strategy excuse me, the current thought process on a capital allocation strategy has not changed as a result of the Tax Cuts and Jobs Act, as EMCOR has maintained sufficient liquidity to execute on all identified areas of capital deployment. Once again, I will let Tony expand on this topic once I had completed the remainder of my materials and I would turn the presentation to him. Please turn to slide 15, additional key financial data on the slide not addressed during my 12 month highlight summary as follows, year-to-date gross profit of $1.1 billion is higher than 2016 by $109.2 million while gross margin is 14.9% which represents a 120 basis point improvement over last year. Total restructuring cost of approximately $1.6 million are slightly higher than 2016 due primarily to severance obligations associated with the functional realignment of certain management and support positions within the company. Diluted earnings for common share from continuing operations for 2017 is $3.83 compared to $3.02 per diluted share a year ago. On an adjusted basis, excluding the impact of the non-cash impairment loss on goodwill and identifiable intangible assets and the net deferred tax liability revaluation, 2017's year-to-date non-GAAP diluted earnings per share would have been $4.06 as compared to 2016's $3.09 per diluted share excluding the impact of acquisition costs and the non-cash impairment loss on identifiable intangible assets in 2016. The year-over-year improvement in adjusted non-GAAP diluted earnings per share is $0.97 which represents a 31.4% increase, please turn to Slide 16, As Tony mentioned our balance sheet continues to represent EMCOR strength with good liquidity and modest leverage, our cash balance increased slightly from December 31, 2016 due to a strong 2017 operating cash flow offset by funds expanded for acquisitions, debt repayment, common stock repurchases, capital expenditures and dividends. Working capital has decreased year-over-year due to increases in accounts payable and our net billings in excess of cost on non-completed contracts. The change in goodwill is due to the impact of the $57.5 million non-cash impairment charge related to our U.S. Industrial Services segment referenced earlier net of the impact of acquisitions and related purchase price allocation finalization adjustments made throughout 2017. The increase in the identifiable intangible assets is due to businesses acquired during the year, net of the small trade name impairment loss previously reference and $48.6 million of intangible asset amortization expense during the full-year 2017. Total debt of $310.2 million is reduced from year-end 2016 due to $100 million repayment made under revolving credit line in addition to our mandatory quarterly principal payments under our term-loan. As a result of the reduction in our outstanding borrowings, our debt-to-capitalization ratio has dropped to 15.6% from 21.6% at the end of 2016. We closed 2017 with another quarter of excellent cash flow conversion and go into 2018 in an extremely strong position; we will not waver from our disciplined risk assessment and look forward to the opportunities in front of us. With my portion of the formal slide presentation concluded, I will actually return this back to Tony. Tony?
Tony Guzzi: You deserve to drink water. I'm going to cover page 17 here and it's by market sector. Total backlog at the end of the year-end 2017 was $3.79 billion versus $3.90 billion at the end of 2016. We have a few moving parts here, we completed or nearly completed some large food processing jobs that actually accelerated at the end of the year. We are very confident that we will replace those but it tends to be episodic as we do our negotiation on several nice projects right now. The markets continue to be active as positive economic growth supports increased non-residential construction activity, if you look at the AIA consensus construction forecast; it says 4% non-residential growth for the markets we are in, in '18 that tells about right to me. When you focus on the market sectors, our commercial project was up 19% or $215 million year-over-year which is very good for us and it's a nice sweet spot for us. Commercial projects represent just over 40% of our total backlog and our ROE read on this for this year as it should continue to be as mid single digit growth trajectory throughout 2018. Continued construction of data centers, high rise and mixed use residential and significant tenant fit our projects we made strong contributors to the commercial sectors projected growth in 2018. Given that two large food process projects reach substantial completion and we delivered for our customers is larger multiyear food processing projects a complement majority of the decrease in our industrial backlog but we also versus some backlog in a number of northeast transportation infrastructure projects. We continue to see opportunities in both food processing and transportation infrastructure. As we move through 2018 and into 2019. Overall our markets remain active putting activity strong and we will remain disciplined with respect to project pursuit resource planning and allocation and then ultimately project execution. I'm on page 18 now. This is backlog by segment using a little rough math total backlog for due construction segments is down about $200 million, backlog for the building services, industrial services and EMCOR U.K. segment is up about a $100 million collectively. Again this is a story of large projects versus smaller projects. Very large projects are a little more exotic for us and we have burned some of this work in our Construction segments as I had just mentioned. We do see really good opportunities to completely replace that work primarily do they sequence perfectly a completion to start up of the next opportunity. Can personally ours U.S. smaller project backlog ranging between 250,000 to $5 million is very strong and we are also seeing strong demand for some semiconductor work that may or may not move through backlog as it may be contracted in a different way that doesn't allow us to put it in backlog as a fixed price drop. We closed the year with backlog in our domestic construction segments to $2.8 billion. My opinion domestic construction segments revenue was up over 10% year-over-year and backlog is a pretty close to where we started. It really equated the strong performance in a pretty good market. These segments are executing and converting and extremely high level right now. And they are doing at throughout the project lifecycle and I want to refute your - we add that we will continue to have. Building services backlog grew during the year which was nice to see and they realigned with that increase in our constructional sector activity and is driven by our mechanical services business. Although we did have some new contract wins in our commercial site based business and we continue to see small and retrofit projects across our mechanical service companies. We expect the new tax law to help because that coupled with a desire for more energy savings and the efficiency to replace what drive replacement demand throughout 2018 and 2019. Look the industrial backlog is up $12 million looks like a big number because it was only $50 million. I remind you that most of our work in the segment is a time of material base. This is a shop work, pricing is still not great and clearly we would have taken an impairment charge if we thought there was a big spike in pricing. The other thing that's happening here is we have headwinds as really we're not servicing some of our customers in Latin America market for new heat exchangers and there's a lot of reasons why mainly because Venezuela side healthy right now. We continue to win some good contracts awards in the U.K. and backlog has continued to take up. In summary bidding opportunities are good. We see a lot of good demand and we will continue to perform well. I'm now on page 19 through 20 there is probably the reason most of you called it today. We will guide 410 to 470 in earnings per diluted share from continuing operations for 2018. These earnings per diluted share guidance incorporate and estimated 28% post tax reform tax rate. We expect revenues of $7.6 billion to $7.7 billion. We expect continued growth in the non-residential construction market, decent demand for our government and commercial site pay services. Our strong energy retrofits market and a choppy and less predictable market with respect to our downstream refining and petrochemical markets. We do expect more clarity in downstream refinery in petrochemical markets as we approach mid 2018 about a fall turnaround season and into 2019. Partner processed some unpredictability in market and it always had a level of uncertainty as maintenance scopes expand and contract, and of course capital planning tends to be the swing resource for us as we tend to be the swing resource on large capital projects in this segment. As always, we will provide a view on what needs to happen for us to move the top end of our guidance range. We need the U.S. construction business to perform at a high level in our U.S. Construction segments. We do have some headwind as we benefited from some significant clam and dispute settlements in 2018, as Mark discussed, and it's in our 10-K. However, we are performing well in a strong market, and we expect to continue to perform well in 2018. We will have our work cut off as far as performing at the 2017 operating income margins, 2018. But we do expect strong operating income margin performance. Our U.S. Building Services segment should return to revenue growth in 2018, and we need to implement our site-based contract very well, continue to grow our Mechanical Services business, and execute well for our Department of Defense, and some other federal agency customers as they repair their facilities that were impacted by Sequester now that a reprioritization of their budget has happened with the new two-year budget. We should continue to see operating income margin expansion in this segment in 2018. Our Industrial Business segment will improve from 2017 to 2018, but it will be weighted to quarters two through four. We had a very strong first quarter in 2017 with respect to our field turnaround services. It was our strongest on record since the acquisition of RepconStrickland. We do see demand strengthening for us as the year progresses. And as Harvey decimated this sector in Q3 and Q4 of 2017, our comparisons are much easier. For us to move to the top end of our guidance range we will need some increased growth or some unplanned event both of which we don't have as of today. And that is certainly possible as these unplanned events that happen more than a few times for us over the last 10 years. Our U.K. business will need to continue the growth and progress that we have earned over the last four years. We expect to continue to have decent cash flows at least equal to net income. We will look to use our cash and balance sheet, as Mark said, to grow organically and through acquisition, and will invest in any of our domestic segments through acquisition. We will return cash to shareholders this year through buybacks and dividends. We would prefer buybacks versus dividends for any incremental return of cash to shareholders. We like how our businesses are positioned. We think we performed exceptionally well in 2017, and we to continue to continue to deliver for our shareholders in 2018. And with that, turn it over to you for questions.
Operator: [Operator Instructions] And your first question comes from the line of Tahira Afzal with KeyBanc Capital Markets.
Tahira Afzal: Thanks. And hey, Tony, a very strong quarter, congratulations to you and your team.
Tony Guzzi: Yes, thank you.
Tahira Afzal: Hope you feel better.
Tony Guzzi: I feel fine. I just have a little laryngitis.
Tahira Afzal: Just some honey and some room temperature water for you.
Tony Guzzi: Yes.
Tahira Afzal: So, I guess, I know you guys always start the year off with a conservative guidance, and that's been your tradition, and it seems to have served you well. I was a little surprised at the width of the guidance. And while the top end seems in line with your tradition, I guess the low end surprised me. It seems pretty low. I would love to get an idea of really how you're picture, what scenario would bad happen under.
Tony Guzzi: Tahira, I think that happens under we don't rebuild backlog through the year in the industrial business as weaker performance than we would expect rebounding from Harvey in quarters three and four. It's a pretty uncertain market, I that's the swing factor for the year. And then remember, we've got to recover about 20 to 30 basis points overall mark that our overall margins benefited from some of the claim settlements in 2017.
Tahira Afzal: Got it, okay. And then, I guess, if I'm looking at the industrial sector, I mean the read through from a lot of the industrial sector in earnings have been pretty positive. Do you what you're seeing, just sort of a transient headwind just based on your comps. Or as you look beyond this year do you think there are some serious issues as well. Would love to get your sense directionally on what you think is going to happen?
Tony Guzzi: And in industrial segment, you're talking about the business we do in our segment, not the broader industrial economy?
Tahira Afzal: That's what I mean.
Tony Guzzi: Yes, look, I think we're well-positioned for a long period of time. I think we're in a pause period in here fourth quarter, and a little bit in first quarter. I think there's been unpredictability brought in. We have premier assets in that sector. I'm not as bullish on the shop services returning to where they were. But, look, I think as we move into late-'18 into '19 it'll be fairly positive. I would say that when you look at read-throughs on some of the others collectively we've been more right than wrong on what we see. And others tend to - few others in this segment that do business in our segment, in the industrial segment, tend to get a little bullish a little too early when there's been a change of events.
Tahira Afzal: Got it. Okay. Thanks a lot, Tony. And I'll hop back in the queue. And feel better soon.
Tony Guzzi: Thank you.
Operator: And your next question comes from the line of Noelle Dilts with Stifel.
Noelle Dilts: Hi, good morning.
Tony Guzzi: Morning, Noelle.
Noelle Dilts: Just first wanted to explore this idea of labor constraints a little bit, which you said are getting a little bit more difficult. How do we think about the impact there? On one hand theoretically is the private labor, you should be getting some pricing. On the other hand, obviously, a lack of availability of labor can limit growth. So can you just give us some more thoughts on how to think about that?
Tony Guzzi: Well, I want to think, skilled labor; if you look at where the unemployment rate is skilled labor is going to be a challenge. Now, I would say when you take us versus other contractors we're more prepared to meet that challenge. I say this a lot, but I believe it because I go see the field a lot, I talk to people, and I know what the folks that actually do the work care about. We're an employer of choice because folks know they're going to get paid every week. They know they're going to be kept safe. They know that they're going to be led by people that actually know the work. And finally, they know that if they do well there's a good chance of follow-on work for them, which is what they care about. Now, if you take it overall, what are you doing to replenish. We've gotten more creative, as have other people. We've worked in the non-union world to expand our training and the resources we'll bring in at a lower level. In the union world, with some locals, not all local, but most locals have allowed us different classifications to bring people in a lower level and move them [indiscernible]. On the union side, on specific trades like sprinklers, we've had pretty good success transitioning non-union sprinkler fitter to union sprinkler fitters. And on the non-union side I go back to my first point, it's even more important that those four things be met than on the union side, because in the union side a lot of the employers would have that. The other thing is it's not just a skilled trade; it's also your supervision from foreman through superintendent to project manager. One of the benefits we have versus other people is our project side can flex. Because of the variety of trade we have we can take more scope. And that doesn't necessarily mean at least the top two levels, the superintendent and project level manager need to increase so we can get more leverage there. And about pricing, I mean pricing is moderately better. But I would argue that when you get to the larger projects especially, you're working with your customer to understand the budget that they have and the options they will have within that budget and which you can afford to do the work for. So, pricing flexibility actually decreases on the very large projects because you work as more of a team to deliver the value for your customer.
Noelle Dilts: Thanks, that's really helpful. Second question, just shifting over to thinking about the impact of tax reform as we look at some of the incremental cash coming through, is there really any shift in how you're thinking about deploying that cash in your priorities?
Tony Guzzi: I would say, "No." We've been pretty good allocators of capital and Mark, you want to expand on that?
Mark Pompa: Yes, and Noelle, as I mentioned in my commentary, the incremental cash, albeit I'd like to have an incremental $40 million or $50 million once again doesn't really change how we think about it. And we're going to execute in the manner that we have been for the last several years.
Noelle Dilts: Okay. And then the last question. When you think about just generally the non-residential construction market, I think we've talked before about a little bit of softening in some of the very early cycle verticals like office and hotel, is that something you've ever seen and then second how are you guys thinking about at this point the potential for an infrastructure stimulus bill and how EMCOR might benefit?
Tony Guzzi: The forecast is still there for pretty good growth in 2018. We believe that. As far as the office market, there is still a lot of retrofit going on in tenant fit out. There's some spike in office building construction. You saw today that JPMorgan Chase has announced a new 70-storey tower in midtown Manhattan. So I think there's a lot of repurposing, a lot of rethought to some of these old buildings that just don't fit the needs for the people we have today. And again I think about there were some distortions that happened with some of these large campus projects over the last couple of years that on their own can bring down demand for office construction, a gap on campus when that's not being built anymore that can have a sizeable impact on what you view is the overall office construction market. In Silicon Valley there was a new campus like - but on the other side we're repurposing all the buildings that they were in because of the capability of the company like us. A hotel, we don't play in the lower end of the hotel market. As far as the higher end of the hotel market, there may be life coming back to Las Vegas, which would be a good thing for us. There's some nice projects on board that look like they're going to come out of the ground in San Diego. So I think you got to be much more specific when we think about the market than just overall categories, because some of those categories wouldn't be what we would do anyway. So I'm fairly optimistic and in the other market that we play in that we see strong demand hopefully in '18 and going into '19 is hi-tech semiconductor. We see that in a couple of places in our footprint in the U.S. right now.
Noelle Dilts: Great, thanks again.
Tony Guzzi: Thank you.
Operator: And your next question comes from the line of Adam Thalhimer with Thompson Davis.
Adam Thalhimer: Hey, good morning guys, great quarter.
Tony Guzzi: Okay, Adam, good Adam introduces Adam. How are you Adam?
Adam Thalhimer: I'm great. I wanted to ask first and maybe I shouldn't overthink this, because I know you guys like to start the year with a conservative guide, but I'm just trying to parse through the revenue guidance of basically flat to down for this year. If U.S. construction is up mid-single digits, building services is up, industrial starts to grow in Q2, I just don't know how you get to down revenue this year.
Tony Guzzi: Yes, I wouldn't overthink it too much, but the way I think about it is we have to think about revenue that way because we know we start the year down. If you just take everything being equal $65 million to $100 million based on our backlog being down at construction $200 million. So we've got to replace that revenue through book and ship business in 2018, which obviously we think we can do, because our guidance is 76 to 77. The other thing is we are expecting to book some large project work through the middle of the year. If we do that you'll see backlog maybe go up.
Mark Pompa: Might not revenue…
Tony Guzzi: But you won't see much revenue probably this year, that'll be more of a '19 and '20 phenomenon.
Adam Thalhimer: Okay. That was my next question of the timing of backlog risks. Do you think it's more midyear?
Tony Guzzi: And this could be like 2012 too where we're starting to see revenue go okay at a decent velocity, because there's more small project work. In 2012 we had a large project, a large food process project that never made its way into backlog. And when it finally did, there wasn't much left. And we have a couple of projects that we could be working on here starting late April or early May who could have the same characteristics as the customers decide that they want to get moving and want to do it more on a fixed fee or time and material basis the revenue burn, but maybe no work will go into backlog which you should take great comfort in in some ways, because that means we were being very careful on the contracting terms we would take and the market's allowing us to do that right now.
Adam Thalhimer: And Tony, that was the semiconductor job you mentioned?
Tony Guzzi: It could be that and other hi-tech work. There's not just semiconductor but other hi-tech work. There's a window right now where they want to lock-in the resources and they may not want to spend months trying to get scope so fixed so we can give a fixed price.
Adam Thalhimer: Okay. And then lastly, I'm sorry to hammer this, you're just generating so much cash and I would assume M&A multiples are still high. I guess, you can end 2018 probably go into '19 with no debt if you wanted to?
Tony Guzzi: We could pretty much do that close to now. We do see opportunities, I'm not that negative on the M&A market now. We did three nice deals last year. Mark what was the total purchase price, $170 million?
Mark Pompa:
.:
Tony Guzzi: So it wasn't insignificant what we did. Mark will get the exact number. It wasn't insignificant what we did. We see deals like that again this year. I'll tell you what we're not going to do. We're not going to do something that we know we can't create value for our shareholders over a three to five-year period.
Mark Pompa: $107 million.
Tony Guzzi: $107 million?
Mark Pompa: $107 million, 1-0-7.
Tony Guzzi: Yes. A $107 million, so we did that. I would expect we'd do that or a little more this year if you could just go through what we're looking at today, hopefully a little more. I think owners that we talked to are still sorting out tax reform. Some of the subchapter S provisions are pretty favorable. They may decide not to sell our businesses. That doesn't change some of the issues they have with the state planning and everything else. The other thing is private equity, it's still very active. They must know something we don't know other than debt. But some of the things they've bid on at the prices they've bid on doesn't make a lot of sense to us. But when they sell it to each other, I guess, it does make sense. And so, we're just going to keep doing what we do. We have a list of things that we've been working on, and that place order could be just in a normal year between a $100 million and $200 million and in a bigger year we've done deals up to $450 million and I don't think this management team is sort of the giant transformational M&A guys, because we haven't seen that work in our space in any significant way. It has to - things we look for strengthen the trade we're in, strengthen the geography we're in, strengthen the line of service we're in, transform one of our segments and lines of business but the idea that we would go out and say let's take two like companies and put them together and quite frankly there's not a lot of SG&A savings and 1 plus 1 really equals 2.
Adam Thalhimer: Okay. I'll turn it over, thanks.
Tony Guzzi: Thank you. Is that it?
Mark Pompa: Adam, is there anybody else on the line for a question?
Operator: Yes, sir. And your next question comes from the line of Brent Thielman with D.A. Davidson.
Brent Thielman: Thanks. Great quarter and great year.
Tony Guzzi: Thank you.
Brent Thielman: Hey Tony, a lot of things are going to develop here since the last earnings call between tax changes, inflation, a bigger topic. I was just curious if you'd seen that lead to any sort of hesitation as you moved projects forward in the market at all even on a shorter term basis?
Tony Guzzi: No, quite the opposite.
Brent Thielman: And then on the public sector backlog kind of setting aside those select larger projects, which obviously caused some lumpiness there, has the general level of bid activity and kind of momentum in that market or sector continued to expand?
Tony Guzzi: Yes.
Brent Thielman: Okay.
Operator: And there are no further questions at this time. I'll now turn it back to management.
Tony Guzzi: Look, we had a fantastic 2017 and that's really a tribute to the 34,000 people that are out there working for EMCOR every day. We have the best skill trained people. We have terrific supervision. We have local leaders and CEOs that run these companies exceptionally well, and a great segment in EMCOR leadership team. We are going to deliver again in 2018, but we are going to be measured and thoughtful in how we do it. We look forward to seeing you all there. And thank you for your interest in EMCOR. And everybody have a great day.
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.